Operator: Ladies and gentlemen, thank you for joining us, and welcome to the Planet Labs PBC Second Quarter of Fiscal 2026 Earnings Call. [Operator Instructions] I will now hand the conference over to Chris Genualdi, VP of Investor Relations. Please go ahead.
Christopher Genualdi: Thanks, operator, and hello, everyone. Welcome to Planet's Second Quarter of Fiscal Year 2026 Earnings Call. I'm here at the New York Stock Exchange joined by Will Marshall and Ashley Johnson, who will provide a recap of our results and discuss our current outlook. We encourage everyone to please reference the earnings press release and earnings update presentation for today's call, which are available on our Investor Relations website. Before we begin, we'd like to remind everyone that we will make forward-looking statements related to future events or our financial outlook. Any forward-looking statements are based on management's current outlook, plans, estimates, expectations and projections. The inclusion of such forward-looking information should not be regarded as a representation by Planet that future plans, estimates or expectations will be achieved. Such forward-looking statements are subject to various risks and uncertainties and assumptions as detailed in our SEC filings which can be found at www.sec.gov. Our actual results or performance may differ materially from those indicated by such forward-looking statements, and we undertake no responsibility to update such forward-looking statements to reflect events or circumstances after the date on which the statement is made or to reflect the occurrence of unanticipated events. During the call, we will also discuss historic and forward-looking non-GAAP financial measures. We use these non-GAAP financial measures for financial and operational decision-making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects, and allow for greater transparency with respect to key metrics used by management in its financial and operational decision-making. For more information on the non-GAAP financial measures, please see the reconciliation tables provided in our press release issued earlier this morning, which is available on our website at investors.planet.com. Further, throughout this call, we provide a number of key performance indicators used by management and often used by competitors in our industry. These and other key performance indicators are discussed in more detail in our press release and our earnings update presentation, which are intended to accompany our prepared remarks. At this point, I'd now like to turn the call over to Will Marshall, Planet's CEO, Chairperson and Co-Founder. Over to you, Will.
William Marshall: Thanks, Chris, and hello, everyone. Thanks for joining us today. It's exciting to be back at the New York Stock Exchange. In the 3.5 years since we rang the bell and went public, we've come a long way. We've launched nearly 200 satellites on 6 rockets, including our next-generation Pelican and Tanager satellites. We shifted our data business towards selling solutions, leveraging AI to enable speed and scale. We've leaned into our strength in Agile Aerospace to bring to market our new satellite services offering, and we've more than doubled our revenue run rate while driving bottom line performance to reach adjusted EBITDA and free cash flow profitability milestones. In a world that has changed dramatically with heightened global security challenges and rapid adoption of AI, Planet's capabilities are proving to be more valuable to customers than ever. We're eager to share the latest, so let's dive in. Planet's Q2 financial results reflect the team's excellent execution in 2 key initiatives: delivering integrated global insights through AI-enabled solutions the top our daily scan and rapidly expanding our satellite services business. To briefly summarize the financials, we generated $73.4 million in revenue, representing approximately 20% year-over-year growth, marking another quarter of growth reacceleration. Non-GAAP gross margin was 61% in the quarter, up from 58% a year ago. And adjusted EBITDA profit came in at $6.4 million, representing our third sequential quarter of adjusted EBITDA profitability. We also achieved our second consecutive quarter of positive free cash flow, delivering year-to-date cash flow from operating activities of $85.1 million and year-to-date free cash flow of $54.3 million, representing free cash flow margin of approximately 39%. Our backlog increased to $736.1 million at the end of the quarter, representing a year-over-year increase of 245%, which provides us with excellent visibility to revenue over the next 12 to 24 months and gives us confidence in our growth acceleration into FY '27. We are delighted to share that with the strong Q2 performance, we are now expecting to be free cash flow positive this fiscal year, over a year ahead of our prior target and a major milestone for the company. Turning to sales highlights. I'll start with the Defense and Intelligence sector, where Q2 revenue accelerated to approximately 41% growth year-on-year and up approximately 14% quarter-over-quarter, driven by strong performance with our core data and solutions business as well as our satellite services contract with JSAT. I'd like to share 2 wins from the quarter that are incremental to those we announced in our July press conference. First, we were awarded an additional 7-figure option by the Defense Innovation Unit, part of the U.S. Department of Defense under our hybrid space architecture pilot. This option expands the capacity of our existing hybrid space architecture pilot, which we announced over the summer. The short-term pilot is focused on delivering vital indications and warnings. This contract demonstrates how customers can leverage Planet's daily scan and extensive data archive to monitor sites of strategic interest for critical changes and threats. Second, the U.S. National Reconnaissance Office expanded its contract with us under the EOCL program to include PlanetScope monitoring and maritime domain awareness in support of national security, counter-narcotics and disaster response efforts. This award is in addition to the contract option we announced in July, which extended Planet's provision of daily monitoring and high-resolution tasking data and maintained our prior EOCL performance level from June through October 2025. To recap our July wins for our AI-enabled solutions, we announced pivotal contracts with customers, including NATO and the U.S. Department of Defense for use cases such as persistent space-based surveillance, enhanced indications and warning and critical maritime domain awareness functions. Similarly, our landmark collaboration with the German government for satellite services also includes a multiyear 8-figure ACV renewal for access to PlanetScope data and maritime domain awareness with our partner, SynMax. More broadly, we continue to see robust demand for downstream products that embed our capabilities into customers' operations, enhance situation awareness and support informed decision-making. Turning to the civil government sector, where second quarter revenue was down approximately 4% year-over-year, largely due to the expiration of our partnership with Norway, NICFI and relatively flat quarter-over-quarter. We continue to see significant growth opportunities in this sector, especially for permit monitoring and enforcement and disaster response applications. To share a few recent highlights, we signed a 7-figure ACV renewal with the U.K. Rural Payments Agency. The U.K. government uses Planet's data to support its environment land management program, which involves countrywide monitoring of a wide range of environmental and agricultural features. And earlier this year, we entered a new relationship with the Panamanian Ministry of Environment, kicking off our strategic collaboration to strengthen continuous monitoring of the province of Darién where illegal mining, deforestation and unauthorized land use as well as unpermitted road development are expanding. Planet's broad area of monitoring solutions support the ministry in detecting illicit activities, generating actual insights that enhance enforcement, governance and protection of Panama's natural resources. Like I'll work with the Brazilian Federal Police, this application of our solutions so how Planet can help serve both security and sustainability challenges sometimes simultaneously. Shifting finally to the commercial sector, where revenue grew approximately 6% year-over-year and approximately 13% quarter-over-quarter, driven in part by strong execution in the agriculture and energy sector. To share a couple of customer highlights. We announced a new 6-figure win with Farmdar, a global agricultural technology company. Through this contract, Farmdar has access to Planet's deep archive of PlanetScope data, including base maps to inform its crop insights platform, enabling more precise crop detection and field boundary identification and Arable land mapping. We also continued to partner with Swiss Re, a leading global reinsurer for innovative drought insurance solutions. To show our recent proof point, Swiss Re leveraged PlanetScope and NDVI data to create a new drought insurance policy in Syria, that provided early assistance to nearly 120,000 people and resulted in a payout of $7.9 million, demonstrating the power of Planet data in addressing food and essential needs in crisis situations. Next, on to our growing satellite services offering. In July, we announced a EUR 240 million multiyear satellite services collaboration with Germany. This is our second win in 2025 in Satellite Services. The deal includes dedicated capacity on Pelican satellites, leveraging Pelicans which are already under development. The team is also continuing to execute well on our contract with JSAT, which contributed to our revenue upside in the quarter. Overall, we're seeing very strong demand signals for Satelite services, driven by the current geopolitical landscape and the desire for sovereign access to space. We're therefore aggressively pursuing strategic opportunities, and I'm pleased to report that our pipeline is maturing very well. Turning now to the exceptional execution by our Space Systems teams. Just 2 weeks ago, we were very excited to have 2 of our high-resolution Pelican satellites launched into orbit. We have successfully contacted these satellites and they're now undergoing commissioning. More broadly, we're extremely pleased with the progress of our Pelican program. The production line is now fully ramped, and we now have 4 Pelicans in orbit and multiple Pelican launches slated for the next year. In August, we celebrated the 1-year anniversary of Tanager 1, our first hyperspectral satellite. To date, our partners at Carbon Mapper have leveraged Tanager's powerful data set to detect methane and CO2 plumes across 3,000 sources. We're incredibly excited about the future of this program and to see what our partners and customers achieve with this powerful data set. Overall then, we're incredibly pleased with the strong results we delivered in Q2. The business is humming for both our data and solutions and our new satellite services offerings. We're capitalizing on the ongoing AI revolution, for which we're extremely well positioned, and we've made excellent progress in our profitability goals and on building a strong cash flow generating business for the long-term. I'd like to take a moment to commend our entire Planet team on a phenomenal quarter and thank them for their drive and dedication to delivering for our customers. It is your commitment and teamwork that makes this all possible. With that, I'll turn it over to Ashley to discuss our financials. Over to you, Ash.
Ashley Whitfield Johnson: Thanks, Will. I'll start by echoing Will's remarks and saying that Q2 was another excellent quarter with strong execution by our teams around the globe. Revenue came in at $73.4 million, representing approximately 20% year-over-year growth. Strength was primarily driven by key wins with defense and intelligence customers, higher-than-expected usage by some of our government accounts and steady progress against our new JSAT contract. During the second quarter, revenue from the Defense and Intelligence sector grew approximately 41% year-over-year. The commercial sector grew approximately 6% year-on-year and civil government revenue was down approximately 4% year-on-year, impacted primarily by the end of our contract with Norway for their NICFI program. We're pleased to see the strong uptake of our AI-enabled solutions in the government markets as well as the health of our customer relationships in the agricultural and energy sectors. Switching to our regional revenue breakdown. For the second quarter, revenue grew more than 50% year-over-year in Asia Pacific, more than 30% in EMEA while North America revenue was roughly flat year-on-year and Latin American revenue was down slightly. The strength in Asia Pacific and EMEA was driven by multiple customers in the defense and intelligence sector, while North America reflects the quarter-to-quarter variability and timing of pilot contracts with the U.S. government. As of the end of Q2, our end-of-period customer count was 908 customers, lower on a sequential basis, reflecting our direct sales team's intentional shift to focus on larger customer opportunities and leveraging our self-serve platform to provide access to our data for other customers. As a reminder, Planet Insight Platform customers are not included in our end-of-period customer count. We continue to see strong revenue growth and thus a solid increase in average revenue per customer as a positive indicator that our sales team's focus on landing and expanding high-value accounts is yielding results. As we shift to some of our ACV metrics, I want to remind you that the JSAT multiyear satellite services contract is not included in our ACV metrics, although it is included in our RPOs and backlog, which we'll discuss in a moment. Recurring ACV was 98% of our end-of-period ACV book of business, reflecting our continued focus on selling subscription data contracts and solutions as opposed to onetime professional or engineering services. Over 85% of our end-of-period ACV book of business consists of annual or multiyear contracts. Net dollar retention rate at the end of Q2 was 107% and net dollar retention rate with win backs was 108%. Turning to gross margin. Non-GAAP gross margin for the second quarter was 61% compared to 58% in the second quarter of fiscal year '25, demonstrating improvement year-over-year. This result is better than expected, primarily driven by the revenue outperformance in the quarter, in particular from our usage-based data subscription customers, which results in very high-margin revenue upside. Adjusted EBITDA profit was $6.4 million for Q2, better than expected, primarily driven by revenue outperformance in the quarter and disciplined OpEx spend. This marks our third sequential quarter of adjusted EBITDA profitability. Capital expenditures in Q2, which include our capitalized software development were approximately $21.5 million. This was towards the upper end of our guidance range, driven largely by the catch-up spending from Q1 that we discussed on our last earnings call, including for launch payments and procurements for our Pelican and Tanager satellites. As a reminder, we're currently in a growth CapEx investment cycle as we build out our next-generation fleets to capture the market opportunity in front of us. Turning to the balance sheet. We ended the quarter with approximately $271.5 million of cash, cash equivalents and short-term investments, an increase of approximately $45 million sequentially. This marks our second sequential quarter of increasing our cash position. During the first half of the year, we generated approximately $85.1 million in net cash from operating activities and $54.3 million in free cash flow. Our focus remains on managing the business to enable sustainable cash flow generation through efficient growth across our data solutions and satellite services revenue streams. At the end of Q2, our remaining performance obligations or RPOs were approximately $690 million, up approximately 516% year-over-year, of which approximately 32% applied to the next 12 months and 57% to the next 24 months. We estimate our backlog, which includes contracts with a termination for convenience clause, which is common in our U.S. federal contracts and occasionally found in other customer contracts to be approximately $736 million, up approximately 245% year-over-year. Approximately 35% of our backlog applies to the next 12 months and 59% to the next 2 years. We believe this backlog provides us with good visibility to sustain our revenue growth rate heading into fiscal 2027. Now let me turn to our guidance for the third quarter and full year for fiscal 2026. In Q3, we're expecting revenue to be between $71 million and $74 million. As in previous quarters, when we've seen elevated usage patterns, our guidance assumes that we will see those customers return back to historical levels to manage consumption within their annual budgets. We expect non-GAAP gross margin for the quarter to be between 55% and 57%. Our adjusted EBITDA range for the third quarter is expected to be between minus $4 million to breakeven, reflective of the variability of our expenses quarter-to-quarter and our tight focus on cost controls and efficiencies even as we invest in strategic growth initiatives. We are planning for capital expenditures of approximately $18 million to $24 million in Q3. For the full fiscal year 2026, we now expect revenue to be between $281 million and $289 million. This increase in range for our outlook reflects our strong performance in Q2 and the improved visibility for the back half of the year even as we continue to monitor the evolving landscape of U.S. government budgets. We expect non-GAAP gross margin for fiscal 2026 to be between 55% to 57%, unchanged from the guidance provided on our prior call. We expect our adjusted EBITDA loss for fiscal 2026 to be in a range from minus $7 million to breakeven again, reflecting the investments we're making in downstream solutions and our Space Systems capabilities. We are planning for capital expenditures of approximately $65 million to $75 million for the year, reflecting increased investments we're making in our Pelican, Tanager and SuperDove fleets to put us in a strong position to meet the accelerating market demand. As Will referenced earlier, we also expect to be free cash flow positive on an annual basis this year over a year earlier than the target we previously shared. It's worth also taking a moment to highlight that Q2 represented our first rolling 12 months of free cash flow profitability, something our team should be very proud of given the work they all contributed to get us to this milestone. Before we turn to Q&A, I'd like to let everyone know that we're hosting an Investor Day on Thursday, October 16, 2025, both in New York City and virtually. Please visit our Investor Relations website to learn more. We intend to cover our growth outlook, market opportunity and much more at the event. We hope you're able to join us. Operator, that concludes our comments, and we can now take questions.
Operator: [Operator Instructions] And your first question comes from the line of Colin Canfield with Cantor Fitzgerald.
Colin Canfield: Maybe just starting out on growth dynamics. If you can kind of talk us through how much of Germany and JSAT is within the backlog that's posted today and how to think about kind of the growth mechanics within the DoD. So just kind of looking at like the contract award around naval maritime domain awareness and maybe pointing to kind of trends you see where Planet Labs can deal directly more with combat and command controls.
William Marshall: Maybe I can start with the latter point. I just actually came back from D.C. and leaders there on some of this -- we have a very strong partnership there and the government gains huge value and that expansion particularly leans into our maritime domain awareness and PlanetScope solutions, and that gives you a hint to the answer to your question, which is they're leaning more into this broad area of monitoring capabilities, whether that's our GMS solution or MDA solution. And you saw the wins, obviously, with the U.S. Navy earlier and our work with the Defense Innovation unit. So overall, we see them leaning into that.
Ashley Whitfield Johnson: In terms of the amount of those contracts included in backlog, the full amount would be in those numbers and obviously recognized over multiple years.
Colin Canfield: Got it. And then as we think about kind of not to preview Investor Day targets a little bit, but like multiyear free cash flow dynamics, if you can kind of give us a high level kind of concept of the working capital schedule related to those awards as well as the other international awards that I think we talked about last call around sizing the pipe as being similarly sized, maybe a little bit smaller than Germany and JSAT. So kind of contemplating the working capital payments from those 2 customers as well as the other international opportunities? Is there a right way to think about kind of the conceptual free cash flow ladder from here given those working capital benefits?
Ashley Whitfield Johnson: Yes. Without getting too specifics, I'd say, generally speaking, what we see from the satellite services contracts is that they are positive for us from a working capital perspective and enables us to build out the fleet without needing to fund those build-outs from our balance sheet. The specifics will obviously vary quarter-to-quarter with a decent amount weighted in the early years of the contract and then later milestones as the contract progresses to more of the managed services component.
Operator: Your next question comes from the line of Trevor Walsh with JMP Securities.
Trevor Walsh: Can you guys hear me okay?
William Marshall: Yes.
Trevor Walsh: Terrific. Maybe just a quick one for you, Will. And you've talked about this in different ways before, but could you maybe just give an update on the pipeline of the services type of contracts? And really, I'm trying to kind of understand where are you ring-fenced or guardrailed, if at all, around those? Is it just the ability to get Pelicans out the door to service those contracts? Is it more just finding the right customers that want to kind of do it at a scale that kind of makes it economically viable for you guys? Just maybe just walk through how you're thinking about not just the size of the pipeline, but what you can actually execute there, if that makes sense.
Christopher Genualdi: Yes. Look, I mean, we're just seeing a lot of strong demand there. I said last time, we're working with a number of strategic partners that we've often worked with for many years before. The deal in collaboration with Germany into that bucket as well. We've been working with them for many years. We have a trusted relationship. There are a lot of more opportunities we're going after, and it's across the world as well as the global demand. So we're feeling very good and we're leaning into that. I mentioned in my prepared remarks that, that pipeline is maturing very well. So we're very pleased with that second deal being done in satellite services later this year. And I just want to touch on how synergistic that is with the core business as well because these things enable us to build more satellites but then have more capacity and more revisit rates for the whole rest of our customer base. And so it really is a win-win for the prime customer ourselves and the rest of our customer base.
Trevor Walsh: Great. Awesome. I appreciate the color. And maybe one quick follow-up for you, Ashley. Just with the good outperformance on gross margins. And I know you talked through kind of some of the elements there that helped to contribute to that. But how should we just think about that kind of heading into, obviously, not so much even the balance of the year, but just heading into next fiscal around, is that still going to have some variability around that gross margin number just based on kind of what you're doing with JSAT and others? Or can we kind of expect that now kind of hitting that plus 60% watermark to hold in the next, call it, year, 1.5 years?
Ashley Whitfield Johnson: Yes. I'd call out on Q2, as I said, that upside in gross margin was really driven by strong usage dynamics. And we see upside in the data subscription revenue, obviously, that's very high-margin business and drops to the bottom line. As we look forward on gross margin, as you called out, just the mix of revenue will cause margin to be different. Obviously, we feel very good about the ability to expand gross profit and continue to drive overall profitability on the business. But the margin number will likely vary as we see -- as we progress into the build phase of some of these satellite services contracts, which are lower margin than the earlier years and obviously Scan to be higher margin in the years to come.
William Marshall: And if I can just go back and add one other thing on satellite services, just to sort of -- I think we're competitively very well positioned to win this market because of our ability, our full stack integration ability to build satellites quickly. And just to give you a tiny sense of that, the partnership we did in collaboration with Germany, we already launched one satellite for them. This was already in the planning, but the fact that we were able to get their own eyes that fast within a couple of months is unprecedented and no one else can do that. And so it really puts us in a strong position.
Operator: Your next question comes from the line of Mike Latimore from Northland.
Mike Latimore: All right. Yes. Great. Congrats on the strong results here. I guess, with regard to the usage levels, can you comment a little bit more on that? What do you see is driving that? Are any of your customers sort of, I don't know, discussing early renewals and maybe expansions early or anything like that? Or are they paying over? Just a little more color on the usage dynamic. And is it continuing so far in the third quarter to be strong?
Ashley Whitfield Johnson: Yes. Thanks for the question, Mike. Generally speaking, when we see an uptick in usage like that, just to be safe given the dynamics around government budgets, we don't assume that, that will continue into subsequent quarters, but instead look at historical pacing and try to adjust accordingly so that our overall assumption would be they stay within their annual budgets. But we have seen some dynamics where our customers have sought early renewals. So there is always the potential that we could see that usage continue. But again, a lot of it depends on what their availability is to doing an early renewal, getting early access to budget, budget dollars, et cetera. So like I said in the prepared remarks, to be safe, we look at historical patterns and assume that in our guidance going forward.
Mike Latimore: Makes sense. And then on the EOCL deal, it sounds like you've expanded your opportunity there. Is there a new time frame for the renewal beyond October?
William Marshall: No. I mean, but we continue to be very proud of what we're doing there and seeing that expansion come in that one is leaning into our area analytics, like I said before. And so -- and we provide great value. And as I said, I just came from D.C. have meeting a bunch of the leaders there. And this administration is leaning more into commercial solutions and services overall. So we think that Planet is well positioned for that. And so yes, we'll obviously update you more on the EOCL as we know.
Operator: Your next question comes from the line of Ryan Koontz from Needham.
Ryan Koontz: Great. On your satellite services deal, maybe just stepping back a bit, can you reflect on what percentage or maybe kind of range of those satellite capacities you have kind of nailed up with these deals for Japan and Germany?
William Marshall: What do you mean what percentage? Do you mean...
Ryan Koontz: I mean these dedicated satellites you're building for them, what percentage of these satellite capacities included in your contracts. Is it 100% capacity?
William Marshall: Yes. Well, we mentioned when we did the deal with Japan that, that was a tiny fraction of our capacity because the majority of our capacity in the rest of world capacity is still continuing to provide to our other customers. So it really is a win-win in that capacity in the area, in that case, mainly around the Asia region and the rest of the world, we get start that is the significant majority. The new partnership in collaboration with Germany start to focus more in the Europe theater, so to speak. And that, I'll just point out, again, it's slightly different from the Japan deal in that we're not -- we are leveraging existing build plans for Pelicans for that rather than new ones. And so -- it has a slightly different structure financially. But that, again, is a small fraction of the overall capacity because it's primarily just in the European context.
Ryan Koontz: Yes. Great. And then on Maritime Domain Awareness, any updates there on your kind of solutions approach? It sounds like a really hot area. What type of partners you're working with? I know you've talked a lot about SynMax in the past. Any updates on your Maritime Domain Awareness solutions from a product perspective?
William Marshall: Yes. No, we're very pleased with the progress there. I mean you saw our expansion with the U.S. Navy. That was a marquee one. And we have mentioned previously that, that was sole sourced because they recognize also that no one else could provide that scan and they're looking across a large area of the South China Sea for indications of ships doing illegal things. And that just simply no one else has that scan of that large area. And so they sold source it to us. And then we've seen it enter into a number of our other partnerships, including one with NATO and others. So we're very excited by the Maritime Domain Awareness. It is our most mature AI-enabled solution, and we have a strong pipeline of others that we're going after. It is also a part of our deal with collaboration with Germany that was in addition to the satellite services component of that is an 8-figure annual contract for data and solutions as well as part of that deal. And that includes Maritime Domain Awareness as one of those solutions. So really, this gets our ability to scan large areas and look for unknown -- unknowns rather than just the known knowns that the intelligence community is really focused on to start with. It's getting their holy grail in a way. And is uniquely positioned because of our daily scan to do that.
Operator: [Operator Instructions] Your next question comes from the line of Daniel Hibshman, with Craig Hallum.
Daniel Hibshman: This is Daniel Hibshman on for Jeff Van Rhee. And well, Ashley, congrats on another really great quarter. I just wanted to start in on maybe if we could double-click on commercial, really strong quarter there, the 16% sequential growth. And I think the first year-over-year growth for commercial in about 2 years. So a really great quarter for that line and a little bit of an inflection for it back to growth. Maybe we could just -- you said about energy and agriculture driving some strength there, but maybe if you could expand a little bit on what's happening and what you see kind of going forward for that business?
William Marshall: Yes. Energy and agriculture, but also insurance. I mentioned the Swiss Re partnership, which where a particular example that really created high ROI. I think overall, you're right that we're starting to see that turnaround. Remember, when we're building these solutions for D&I, they are often translatable to other areas. We were just talking about Maritime Domain Awareness, think about how that could be useful for the maritime sector, right, not just for navies and coast guards. And our ag solutions for civil government are also relevant for the commercial sector. So we have, I think, tremendous value. One of the amazing things again about our daily scan is that rather than just tasking system is that it opens up these markets, right? That's -- we have that differentiation compared with the rest of the earth observation players that we can serve agriculture insurance, disaster response, so on because they need large area coverage to do that. So I expect that to be driven even more as AI enables solutions in these areas because the traditional challenge has been extracting out the actual insights from our imagery and AI is making that easier and easier. So we're starting with our focus on solutions on defense and intelligence. But I believe there will be translations into the commercial sector, and we're beginning to see that.
Operator: Your next question comes from the line of Gregory Pendy from Clear Street.
Greg Pendy: Just was wondering, can you probably provide us a possible update on where the anthropic relationship is and how that's been developing and what we can possibly expect through the course of the year?
William Marshall: Yes. I mean, firstly, I'm really bullish on AI in general and incredibly important tool for data scan, speed time to value, expanding usability, scaling up capabilities. What we're doing with Anthropic, in particular, is helping to fine-tune the model on our data. Those models are pretty good out of the box. If you show them satellite imagery, these new multimodal visual language models are really good at describing the image, being able to do basic analysis on those images. And that's without fine-tuning. Those models haven't seen much satellite data. So our thinking together as a collaboration is that if we expose it to far more satellite imagery, it will be much more accurate and scalable at that capability too. Remember our partnership with Anthropic is not the only one. We're also doing -- have a partnership with Google on a similar sort of collaboration. And then with NVIDIA on the chips that including the Jetson Orin platforms that we launched on both of the Pelicans that we just launched 2 weeks ago. So both AI upstairs and AI downstairs, we're focused on. And it's just -- it really is -- we're in a unique position, and it's a very, very exciting time. I go as far as to say that really Planet is the only space company that's truly central to AI with space and AI company. So I think this is a fascinating time, and we're excited about those collaborations that we're doing with other companies and our own internal work.
Operator: Your next question comes from the line of Caleb Henry with Quilty Space.
Caleb Henry: Two questions. First was just about the Tanager fleet. I was wondering if there's kind of any more planning around how to monetize that going forward? And if you have any more visibility into what that might look like as a future constellation?
William Marshall: Yes, absolutely. So firstly, again, we're proud of our 1-year anniversary milestone and that important methane detection work that we do in collaboration with Carbon Mapper detecting our 3,000 sources of emissions. It's been fantastic to see the results of that in. We have 2 solid revenue opportunities already for that. One is with Carbon Mapper itself and the other is California as we've announced earlier this year. And we think California is a powerful proof point of how other government, state and local can leverage this technology to monitor emissions and get ahead of those sort of climate goals that they have. We believe there's a strong commercial and defense intelligence application of this that we're only just beginning on to provide those data. And so it's early days still on that. It's a relatively new market, but we are very pleased with the performance of that instrument.
Caleb Henry: Okay. And then my other question is just about backlog. Forgive me if I missed the answer to this one already, but it's grown really fast. I was wondering if you could share anything about the kind of average length of how revenues are distributed from that backlog if that's more front-loaded or linear over the next couple of years?
William Marshall: Yes, we're happy to talk more about backlog right now, going up 245% year-over-year. We feel very good about that. Ashley, do you have anything to share on the...
Ashley Whitfield Johnson: Yes. In the prepared remarks as well as in our 10-Q, you can see the breakdown and what percentage is expected to be recognized over 12 months versus the next 24 months. But generally speaking, the large contracts that we've announced this year, both with our partner in Japan as well as in collaboration with Germany were big drivers of that backlog increase. In addition, we announced in July as well as additional contracts on the call today that are 7-figure and higher contracts for some of the solutions that we are bringing to market. And it's the combination of those factors that's really driving backlog increase. Obviously, the larger satellite services contracts are recognized over multiple years. And so we do call out what percentage is in 12 to 24 months. And solutions contracts when we talk about 7 and 8 figures, we're typically referring to the ACV metrics.
Operator: Thank you. That's all the time we have for questions today. I will now turn the call back to Will Marshall, CEO and Co-Founder, for closing remarks.
William Marshall: Thanks, everyone, for joining. Look, overall, I would say our business is humming, and I feel very proud of the work of our teams to get us there, both on the core business is humming. You saw those deals with NATO and INDOPACOM. The constellation of satellite services business is humming with our second deal. And as a result, our financials are humming, the cash and backlog in particular, I'm proud of. And this all gives us confidence about solid growth acceleration locked in for FY '27. So we're feeling very good. Thanks for paying attention, and we're really proud of the work of the team to get us there.
Operator: And this concludes today's call. Thank you for attending. You may now disconnect.